Operator: Good day, ladies and gentlemen and welcome to the third quarter 2009 NiSource earnings conference call. My name is Kershaw and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator instructions). I would now like to turn the call over to Glen Kettering, Senior Vice President of Corporate Affairs, please proceed sir.
Glen Kettering: Thank you, Kershaw, and good morning to everyone. On behalf of NiSource I would like to welcome you to our quarterly analyst call. We appreciate the opportunity to be with you today and thank you for taking the time to join us. Joining us this morning are Bob Skaggs, President and Chief Executive Officer; Steve Smith, Executive Vice President and Chief Financial Officer; and Randy Hullen, Director of Investor Relations. As you know, the focus of today’s call is to review our third quarter 2009 earnings results and provide a general business update. During the course of the call we will be referring to certain supplemental materials, which are available to those accessing our call via webcast, which have been posted on www.nisource.com. Following Bob’s prepared remarks we will open the call to your questions. I'd remind you that some of the statements made on this conference call will be forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Federal Securities Laws. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Information concerning factors that could cause actual results to differ materially is included in the management's discussion and analysis and risk factors section of our periodic SEC filings. And now I’d like to turn the call over to Bob Skaggs.
Bob Skaggs: Thanks, Glen. Good morning and thanks for joining us. As you know we have several important matters to address this morning. First, we’ll report on NiSource’s third quarter’s earnings results. Next we’ll update you on the impacts of the continuing economic downturn on our business and the steps we’re taking to mitigate them. I’ll also briefly update you on our liquidity position, which I’ll preview now by telling you it has again improved. And finally we’ll discuss our business segment results and what I think you will agree is continued tangible progress on our balance plan to grow the company and enhance shareholder value. Let’s begin with a look at our third quarter results. As we noted in our news release this morning, our team’s execution of our business and liquidity plans has been nothing short of exceptional. Despite continued economic challenges particularly in Northwest Indiana our underlying business performance has been strong, our liquidity position is solid, and we're producing concrete results from our long-term growth strategy. For the third quarter, NiSource delivered net operating earnings on a non-GAAP basis of $18.8 million or $0.07 per share that was an increase from $7.7 million or $0.03 per share for the third quarter of 2008. Operating earnings again on a non-GAAP basis were $134.3 million compared to $111.8 million for the same period in 2008. As noted in our release NiSource is delivering solid financial performance in spite of some tough economic conditions. This is particularly true in our Northern Indiana markets where third quarter electrical industrial demand continue to lag prior levels by almost 20%. In that regard, our ability to continue delivering on our financial commitments in this challenging environment underscores the resilience of our core regulated businesses and the ability of our team's to execute on their business plans. Our team's ongoing business initiative as well as our aggressive cost management efforts help NiSource mitigate significant portion of the impacts the economic recession. To that very point our results included about $42 million in additional net revenues excluding regulatory trackers, there are Gas Distribution business, primarily due to regulatory initiatives. And about $19 million of increased revenues again excluding regulatory trackers from our gas transmission and storage business primarily from growth projects, optimization and mineral rights leasing. We also saw positive effects from our open market debt repurchases earlier this year as well as from lower short-term interest rates. Those earnings improvements were partially offset by two key factors when we discussed on prior earnings calls. First, pension expense and second, incremental interest expense related to the prefunding of long-term debt maturities under our liquidity plan. With respect to pension expense during the third quarter we saw an increase of about $13 million compared to third quarter of last year. This increase is net of the impact from the deferral of about $8 million in pension expense by Columbia Gas of Ohio that we discussed during our second quarter earnings update. Year-to-date pension expense has been about $62 million above the comparable period last year. Although we are certainly are encouraged by our solid third quarter performance, challenges still lie ahead. Our team's are continuing to closely monitor and assess economic conditions across the markets we serve. We will continue to make appropriate balance adjustments to our near-term business plans as we manage through these turbulent times. Let me turn now to our 2009 earnings guidance. You’ll see in today’s release that our 2009 earnings outlook remains consistent with our previously announced net operating earnings guidance of the $1 per share to $1.10 per share on a non-GAAP basis. As we indicated during prior updates NiSource’s original outlook assumed moderate level of economic recovery during the second half of 2009. Although there have been some encouraging signs that the downturn has bottomed, we have yet to see material rebound in volumes and margins. We continue to believe that the recovery in our markets will be gradual. Moving to liquidity, as I mentioned earlier, NiSource’s position has become increasingly stronger. In addition to our previously announced progress on the execution of our 2009 financing and liquidity plan, I'm pleased to report that NiSource has put in place strategy that fully addresses the company’s debt refinancing requirements through 2010. Our liquidity position will be significantly strengthened for the year as a result of the change in tax methodology regarding certain electric and gas utility repair costs. The change provides significant additional liquidity in the form of income tax refunds of about $295 million relating to the taxes paid in prior years. In light of the change in tax methodology we now estimate that our remaining financing requirements through 2010 can be met through the issuance of about $120 million in debt related to the Sugar Creek generating facility at NIPSCO. That financing requests is pending before the Indiana Utility Regulatory Commission. In addition, as stated in our release we retain the option of conducting additional financing at corporate level. Prevailing market conditions will determine the ultimate timing and structure of any financing activities which we expect to take place in the fourth quarter of this year. I would also note that is shown on the supplemental slides our cash position has continued to improve and we expect to have more than a billion dollars of excess liquidity at year's end. Finally, I would note that NiSource successfully negotiated new accounts receivables securitization facilities for Columbia Gas of Ohio and NIPSCO. And we expect to add a similar facility for Columbia Gas of Pennsylvania, pending regulatory approval prior to the end of the year. Total capacity of these facilities is about $550 million with opportunities for annual renewal and capacity increases as required. Let me turn now to our quarterly business update and look at NiSource’s balance strategy for delivering long-term sustainable growth and shareholder value. We remind our strategy is centered on expansion in commercial growth in our natural gas pipeline and storage business, regulatory and commercial initiatives that are utilities and strong financial process and expense management across the corporation. Let me first touch on gas transmission and storage, where our team is making timely and smart growth investments to maximize the value, our strategic pipeline and storage network. In particular, the team has focused on NiSource’s extensive footprint in the Marcellus Shale production area in Appalachian. Estimates are that there are more than 200 trillion cubic feet of recoverable gas reserve in the Appalachian basin, with Marcellus accounting for the bulk of that potential supply. Helping efficiently get those new supplies to market over the coming years, key goal of our NGT&S team and they are working with a variety of natural gas producers, processors, and another industry players to identify and deploy projects that fit the bill. Currently, we are actively engaged in projects representing more than $155 million in investment in the Marcellus region. With the potential to bring about 700,000 dekatherms per day of new natural gas supplies to market. From transportation services on one Marcellus related project began during the third quarter with additional services slated to begin in 2010 and beyond. Those projects include our recently announced Majorsville, West Virginia, Pennsylvania natural gas gathering and processing project, a joint venture with MarkWest Energy Partners. As you can tell we are excited about these another growth investments and are convinced that they will pay long-term dividends for our customers, business partners, and shareholders. From a third quarter earnings standpoint, NiSource’s transmission storage operations reported operating earnings of about $100 million versus operating earnings of about $80 million in the third quarter of 2008. As I mentioned earlier, the increase resulted primarily from higher net revenues of nearly $19 million excluding regulatory trackers that was attributable to growth projects such as Eastern market expansion and the Ohio storage project as well as for new Appalachian transportation contracts. Increased short-term transportation and storage services and mineral rights leasing revenues also contributed to the improved results for the quarter. Equity earnings were up $2.4 million, thanks to increased earnings from the Millennium pipeline. Operating earnings increased $1.5 million, again excluding trackers, due primarily to higher capacity lease cost and maintenance cost, partially offset by lower legal reserves. Let’s shift now to our Gas Distribution business, where we continue to see strong results from our ongoing efforts to improve rate design and synchronize infrastructure programs with regulatory initiatives. For example, earlier this week, Columbia Gas Kentucky received approval for unanimous rate case settlement to provide $6 million in added annual revenues and a 30% increase in our monthly customer charge. The settlement also provides for an accelerated main replacement program rider and a residential energy efficiency program. Also this week Columbia Gas Virginia filed a stipulated agreement with Virginia State Corporation Commission regarding its conservation and rate making efficiency what we call the CARE Plan. The CARE Plan combines decoupling mechanism with customer conservation incentives. We expect Commission action on the proposal by the end of this year with the plan expected to be in effect from 2010 through 2012. And finally, I will note that within the next few days or so Bay State Gas Company will receive a ruling on its base rate case from the Massachusetts Department of Public Utilities. Bay State is seeking new increase annual revenues by $34.2 million or 6.4%. The Bay State request addresses capital cost for system upgrades and maintenance as well as cost increase since the company’s last base rate adjustment in 2005. Among other things the filing proposes an infrastructure investment tracker and enhancements to the company’s rate design. Hearings in that case wrapped up in late July and new rate is scheduled to take effect November 1. With each successful initiative, our Gas Distribution company strengthened NiSource's reputation for addressing complex issues related to energy conservation, progressive rate design and timely recovery of ongoing infrastructure investments and a collaborative and constructive fashion. From an earnings standpoint Gas Distribution operations reported a third quarter operating earnings loss of $30 million versus a loss of nearly $58 million for the same period in 2008. As noted earlier, net revenues excluding the impact of trackers were up $42 million, primarily due to regulatory and service programs including rate cases that are utilities. Operating expenses excluding trackers were more than $14 million higher than the comparable period, reflecting an increase in depreciation cost, and employee and administrative cost which includes higher pension expense. Now last, but certainly not least, let's turn to our Electric Operations business. As I noted earlier, our Northern Indiana market has been under tremendous pressure from the economic downturn. Despite this challenge NIPSCO continue to make progress on advancing its regulatory and operating agenda including the electric base rate case. Final round of evidentiary hearings was conducted on the NIPSCO case this summer. And the parties are now engaged in the briefing process. That process is scheduled to extend into the first quarter of next year. We expect the case to be resolved with new electric rates effective during the first half of 2010. As we previously discussed NIPSCO anticipates filing another electric base rate case during 2010. Among other things their filing is expected to address the effect of increased pension expense as well as demand levels based on a more recent operating experience. New rates from this case are expected to be effective in 2011. NIPSCO also is developing plans for a gas rate case, which would be the company’s first since 1987. That filing is expected in 2010 with new rate effective in late 2010 or early 2011. While pursuing this comprehensive regulatory agenda, NIPSCO management team also has taken steps to aggressively manage costs to help mitigate the impacts of the economic downturn. Clearly, much work remains ahead of us in Indiana. However, the team has made great strides in addressing a wide variety of operating and regulatory challenges and we're seeing tangible progress from their efforts to manage the superior economic impacts caused by the recession, while continuing to advance NIPSCO regulatory and operational agenda in a constructive manner. From an earnings standpoint, Electric Operations reported operating earnings of about $70 million in the quarter compared to about $82 million in the third quarter of 2008. Net revenues excluding regulatory trackers were essentially flat. Lower industrial usage and lower Sugar Creek revenues from capacity sales into the PJM Interconnection were offset by lower non-recoverable purchase power costs. Operating expenses in Electric Operations increased by $12.7 million excluding trackers due primarily to higher pension expense of $10.7 million. Shifting now to other key considerations. Interest expense I noted earlier increased by $10.2 million, primarily due to the issuance of $600 million of long-term debt in March and the $385 million two-year term loan issued in April. Those issuances were part of our proactive liquidity plan and we're partially offset by $100 million open market debt repurchase in January, our $250 million tender offer debt repurchase in April and by lower short-term interest rates. The effective tax rate of net operating earnings for the quarter was 40.9%, compared to 30% in the third quarter of 2008. Last year’s effective tax was lower due to the impact of a state income tax adjustment. On a GAAP basis, NiSource reported a net loss from continuing operations for the third quarter of $9.7 million or $0.03 per share, compared with income of $31.1 million or a $0.011 per share in the same period, a year ago. Operating income was $99.6 million for the quarter, compared to operating income of $105.6 million in the year ago period. Schedule one in our earnings release list items included in GAAP income from continuing operations, but excluded from net operating earnings. To wrap up, NiSource’s overall financial performance remains consistent with our business plan and as mentioned earlier inline with our outlook of net operating earnings in the range of $1 to $1.10 per share for 2009. Although we have much more to accomplish in a very challenging environment in which to operate, the team has continued to make impressive progress and delivering on our aggressive game plan. We have worked hard to dampen the effects of the severe economic downturn while improving our solid liquidity position. We also have continued to advance our agenda of infrastructure programs, rate proceedings and pipeline and storage growth opportunities. Prior to opening the call to questions, I would like to briefly touch on several of NiSource's core commitments that I know remain a priority for our stakeholders. First is, I have during prior calls I want to reiterate NiSource’s ongoing commitment to its investment grade credit ratings. We continue to view the maintenance of solid investment grade credit, as mission critical to a regulated capital intensive business such as ours. Our ongoing and open dialogue with credit rating agencies will continue this quarter as we conduct our annual deep dive reviews with each of the agencies. We look forward to those important discussions. Likewise we recognize the significance of our dividend and the key role it plays in the NiSource investment proposition. Again, we remain committed to the current dividend and we don’t have plans for any large scale equity issuances at this time. Finally, we remain committed to communicating with our investors in a transparent and timely manner regarding these and all of our efforts. Ongoing updates will be provided through our analysts calls, news releases posted on www.nisource.com. Thanks again for participating today and thanks for your continued interest in and support of NiSource. With that, Kershaw, we’d like to open the call to questions.
Operator: (Operator instructions) Your first question comes from the line of Jonathan Arnold with Deutsche Bank. Please proceed.
Bob Skaggs: Good morning, Jonathan.
Jonathan Arnold – Deutsche Bank: Good morning, guys.
Steve Smith: Hi, how are you?
Jonathan Arnold – Deutsche Bank: Good. Thank you. Thanks for taking my question. I noticed on your schedule that you showed for the regulatory timeline that the first or the current NiSource NIPSCO rate case is you're now thinking for the late second quarter resolution that used to be, sort of a middle of first quarter. Is that just having a better sense of the schedule or what exactly changed?
Steve Smith: That’s correct. The creeping process finishes or was completed mid-January 2010 and Jonathan, we really begin counting 90 days from that date. And that would probably be the minimum time that commission would need to complete its deliberations. So I count 90 days out from that date and then you could begin adding from that point.
Jonathan Arnold – Deutsche Bank: And now that you're into briefing, is it reasonable to assume that settlement is will be tougher at this point of the schedule or is it still something that (inaudible)?
Steve Smith: That's the correct assumption. Challenging we'll never say never. We have ongoing conversations not emphasized conversations supposed to negotiations with our stakeholders, but I do believe that it’s more likely in north we'll go through litigated commission decision on this case.
Jonathan Arnold – Deutsche Bank: Okay. And then if I could just ask a some more strategy question. You obviously laid out this plan in the beginning of the year to address some of the upcoming mature season and had great success with that. As you look forward now and some of the things you had looked out in the past like the MOP, for example, and I think what should we be looking at this kind of the next significant strategic move on the part of the company as you can now begin to you go visibility on addressing this liquidity issues that were pressing?
Bob Skaggs: I appreciate your comments and your forward look at this point but we are at the moment still focused on the relative near-term. We believe that we have to continue our work on fixing NIPSCO, improving clarity in and around NIPSCO. So our near-term priority is fix NIPSCO, continue to address our pension expense challenge and advance our key business initiatives. So that’s really the process and that’s probably where our thinking is. Let’s continue to strengthen the business, continue to reduce the business risk and position ourselves to address the longer-term considerations, but we still have near-term work in front of us.
Jonathan Arnold – Deutsche Bank: Should we see that the MOP transaction is, on how though off the table?
Bob Skaggs: I'd say at the moment it’s off the table, but certainly we're taking note that the MOP market has improved rather dramatically over the past six months or so. So, we're very mindful of what’s going on in the market, we try to take a broad view, but at the same time we have some near-term priorities, we just need to address.
Jonathan Arnold – Deutsche Bank: Thank you very much, Bob.
Operator: Your next question comes from the line of Carrie Saint Louis with Fidelity. Please proceed.
Carrie Saint Louis – Fidelity: Hi, good morning.
Bob Skaggs: Hey, good morning, Carrie. How are you?
Steve Smith: Good morning, Carrie.
Carrie Saint Louis – Fidelity: I am good. I have a number of questions. First I wanted to start with (inaudible) about the sources and uses. And I just wanted to maybe go over some of the improvements that you have seen from the February call to October, because like the working capital is now up, say, 100. So I know a lot of that was related to lower gas prices, but is that number also includes the recent tax settlement or what else is in there?
Bob Skaggs: Let’s ask Steve to address that.
Steve Smith: Okay, thanks, Bob. Carrie, the tax benefit, the $295 million tax benefit that we received is reflected in FFO. So that would be in the $1.2 billion green box. That’s where the tax benefit comes from. The financing, the blue box, the 1.105 billion we’ve effectively taken a liberty of assuming that we would issue the $120 million of additional financing related to Sugar Creek in the fourth quarter, so that ups the amount of financing by $120 million.
Carrie Saint Louis – Fidelity: Okay, that got regulatory approval?
Steve Smith: That has not gotten regulatory approval yet. We’re anticipating that we will receive that and we've asked for the flexibility to issue both external debt or internal debt or secured debt or non-secured debt. So we hope that will have a fairly broad-based regulatory financing order when that is approved.
Carrie Saint Louis – Fidelity: Okay, great.
Steve Smith: And then the $800 million of working capital benefit, you're correct; it's largely driven by the lower gas prices. That we've experienced through the balance of 2009. So that continues to help us going forward. And then the last little bucks there the drip we've talked about the drop quite a bit at our last earnings calls we anticipated somewhere between $15 million to $20 million of that. Now based on sharp of pencil we think we're going to be closer to the $28 million for the year. So those items basically have provided us with pretty good, strong liquidity position for 2009.
Carrie Saint Louis – Fidelity: Right. Can I just ask on that tax refund? Is there any amount that’s kind of leg up all over into 2010 or is that 295 a comprehensive amount?
Steve Smith: That 295, Carrie, is a comprehensive amount and it represents historic look back on expenditures that were capitalized for tax purposes that were expense for tax purposes on a 20008 return. So that 295 represents cash refund from the IRS and we received $260 million plus already and anticipates the balance of $30 million or so to flow largely in the fourth quarter of this year.
Carrie Saint Louis – Fidelity: Okay, great. I'm just kind of thinking up to 2010. Obviously, I dare the FFO will not have the tax benefit item in there?
Steve Smith: That’s correct.
Carrie Saint Louis – Fidelity: So if I were to take the 1.2 and take out that roughly $300 million that get like a $900 million, is that a fair maybe with some growth but is that a fair and reasonable assumption for next year?
Steve Smith: Well, we've said before that the FFO for us is in the billion dollar range. Give or take $50 million to there. It’s a very hard number (inaudible) going to appreciate or predicting exactly. Yes, it’s in the billion dollar range.
Carrie Saint Louis – Fidelity: Okay, and then the CapEx this year, 800 kind of looking out next year?
Bob Skaggs: It will be in that neighborhood, it may frankly be a bit north of that. But I would characterize it as a bid as opposed to a lot.
Carrie Saint Louis – Fidelity: Yes, bit being like what, 10%?
Bob Skaggs: We don’t get out of ahead of me, but yes reasonable bump, but not huge, and we're literally just deliberating on the 2010 number, Carrie, so, hopefully going to appreciate that we're deciding that real time.
Carrie Saint Louis – Fidelity: Did you mention so the whole update for moving forward to 2010 as that can be expected on your four quarter call?
Bob Skaggs: That's correct, Carrie.
Carrie Saint Louis – Fidelity: Okay, and then I am not turning yet, Hawney [ph] is also lower so I was wondering why that is, is that expected to now carry over to '10 or is it just a change in how much you had to pay for Hawney?
Bob Skaggs: It is more the latter that some of this will continue into 2010, we've already paid a significant chunk in, but we're not looking at a big number in 2010, but we may have additional cash to go in 2010, but not big.
Carrie Saint Louis – Fidelity: Okay. And then any comment on the economy at NIPSCO and just any kind of thoughts about what now you're looking at for 2010 and any more color you could add there?
Bob Skaggs: Yes, as I mentioned in the prepared remarks, we believe it has bottomed in Northwest Indiana, we are seeing some modest indication of recovery but I'd emphasize modest and as we look at 2010, our plan will be built on modest as opposed to a robust jump in industrial activity in Northwest Indiana. I'm sure you've been reading, as we’ve been reading press releases by metal and US Steel, they have been very cautious about the outlook and we would echo that caution at the moment.
Carrie Saint Louis – Fidelity: Great.
Steve Smith: Thank you, Carrie, see you.
Carrie Saint Louis – Fidelity: Okay.
Operator: Your next question comes from the line of Carl Kirst - BMO Capital. Please proceed.
Carl Kirst - BMO Capital: Hey, good morning, everybody. How are you doing?
Steve Smith: Good and you?
Carl Kirst - BMO Capital: Good. Just actually a couple of clarifications at least one from Carrie's question, with respect to the tax infusion the 295, Steve mentioned 260 was already received, I'm just trying to clarifying was that received in October or is that actually part of the Q3 cash flow statement?
Steve Smith: That was received in October, but we had accounts receivable for the 295 on the balance sheet so you will see that, it reflected in the third quarter balance sheet.
Carl Kirst - BMO Capital: Okay, I appreciate the clarification there. Bob, maybe looking at the second NIPSCO rate case and understanding that the timing hasn’t been necessarily settled on when you would file, but 2010 obviously you can kind of pick and choose your points there. Since this first rate case is so complex and has to settle so many issues, is there actually any benefit to filing before that is settled, would you actually legitimately have a chance of at least for instance file that in January of getting a decision sooner than if you would be filing it in June?
Bob Skaggs: Great question, and that’s the sort of calculus that we're working through as we speak. That is exactly the read that we're trying to make and we'll continue to make as case one is closer to decision. So, we're making those sort of political regulatory reads real time in the first part of 2010. It’s just not a black and white consideration.
Carl Kirst - BMO Capital: No, that’s fine, I just didn’t know if you had any additional color, but I mean I can understand you can appreciate the situation. This may also be a difficult one to answer to, but is there any more color with respect to sense of magnitude you could share yet with respect to the pension in the demand side issue, we've seen that the second rate case could be as big if not bigger than the first and I didn’t know if my calculus was different than yours?
Bob Skaggs: No, I think directionally you're correct, it's going to be a significant case, and we do have to look at the size of the increase in pension expense. The predominant share of the increase for NiSource occurred at NIPSCO. And you have seen what the volume reduction deterioration has been on the industrial side of the house, down 20% give or take. So these are big issues. Now having said that and I think you understand and appreciate it, case two is likely to have many fewer moving parts, again, assuming a resolution, full resolution of case one and pretty clear direction coming out of case one, case two does look like its more about pension expense and volume levels for rate design.
Carl Kirst - BMO Capital: Fair enough. And then last question if I could, switching to the pipes here, on the chance that as we look out over the next three years and just under a hypothetical we don’t have any perhaps recovery in the geographic basis market. Your pipes from the Gulf to Northeast, one are the cheapest routes to get up there, but nonetheless with respect to whatever contracts that might be rolling, did you see any risk there, Bob, under that kind of scenario?
Bob Skaggs: We currently do not see material risk on Columbia Gulf, you make great point, number one it is the cheapest route from the Southwest, number two, the hydraulics, the operation of Columbia gas transmission is heavily dependent on Columbia Gulf, storage refill is heavily dependent on Columbia Gulf. And I'd also add that we now have so much gas heading Columbia Gulf and Northeast Louisiana and we now have much stronger businesses on Columbia Gulf from west east in the Gulf region, but we feel all of that as the Columbia Gulf remains strategic and quite economically viable. Now, we're watching the bases, what note the bases has shown some recovery as we're turning a bit more to normal on Columbia Gulf so again long-term we feel good about the asset, the utilization, and the contractual status of that pipe.
Carl Kirst - BMO Capital: Great, appreciate the color, thanks guys.
Operator: Your next question comes from the line of Paul Ridzon with Keybanc. Please proceed.
Paul Ridzon – Keybanc: Hey, good morning
Bob Skaggs: Hey, Paul.
Steve Smith: Hey, Paul
Bob Skaggs: You're up early this morning.
Paul Ridzon – Keybanc: Would you check my gas meter?
Bob Skaggs: We saw you reported at the lawn, yes we were reading meters really to.
Paul Ridzon – Keybanc: I have a question on the tax refund and what is the impact on rate base or is that the regulatory book difference and the tax book?
Steve Smith: No, typically, Paul, as you're probably aware deferred tax is an element of most rate proceedings. So you have deferred tax balances associated with a whole host of items, like bonus depreciation and the like, so it will be a component of rate making going forward for our company, but we feel we'll be able to manage that in those processes.
Paul Ridzon – Keybanc: Is rate base just been effectively reduced by 300 million, is that too simple of you?
Steve Smith: Yes, I would say if you look at the tax benefits of 295 or so, it's about a third and third and third in terms of where the benefits accrue, so third is that NIE, NIPSCO a third is the pipeline and the third of the Gas Distribution businesses.
Paul Ridzon – Keybanc: Okay, and it sounds like you are going to have the pan cake in the next NIPSCO electric case, is that fair?
Bob Skaggs: Well, not necessarily, that, Carl asked question earlier about that and clearly we're considering the calculus of filing case two and we think it is regulatory, political, strategic so we're going to take a very close look of when and how we file case two. So I don’t think it's correct to assume pan caking, on the other hand I wouldn’t say that we would rule that out at this point, but we recognize we have to make a careful, thoughtful decision around that.
Paul Ridzon – Keybanc: Okay, thank you, and now just to echo Jonathan’s remarks, congratulations on getting the ship back on an even keel.
Bob Skaggs: We appreciate that, thanks very much, team's worked hard.
Steve Smith: Thanks, Paul.
Operator: Sure. Your next question comes from the line of Ashar Khan with Incremental Capital. Please proceed.
Ashar Khan – Incremental Capital: Hi, good morning, how are you doing?
Bob Skaggs: Good morning. We’re doing well.
Steve Smith: How are you?
Ashar Khan – Incremental Capital: I just wanted to clarify, I was a bit confused, you said in your remarks about that no need for large equity financing. Does that imply? And then you were mentioning financings in the fourth quarter. Does that imply? That some kind of equity financing is required in this current quarter. I was a little bit confused in the terminology used. I just wanted to clarify if you could?
Bob Skaggs: Yes, the answer is no, I just appreciate that if there is any confusion we certainly want to be clear. Obviously, I want to be straight up for using the drip, and the drip purchased $28 million so that’s an ongoing equity issuance, if you will. And that’s the only thing we have on the table right now. Now, let me be absolutely clear on the fourth quarter contemplate activity and that is debt financing of about a $120 million or so. And in the remarks we talked about in Indiana Regulatory Commission approval pending for financing related to our Sugar Creek facility so we could use that if the commission approves that we could use that as a financing vehicle. But we also retain the right to use debt financing at the corporate level during the fourth quarter of the 2010 is to take off the table or 2010 financing requirements and they would be met with the debt issuance of some sort presumably yet this quarter again depending on market conditions and the like.
Ashar Khan – Incremental Capital: Okay.
Bob Skaggs: Does that help?.
Ashar Khan – Incremental Capital: That helps, that clarifies, I really appreciate it.
Bob Skaggs: Good.
Ashar Khan – Incremental Capital: And then can I just go as we look for pensions next year what is the discount rate you are using this year? And how should we look at the discount rates if you were to do something today, is that going to be a further hurt in 2010 or with some end of these rate case decisions and all that. It’s like its not going to hurt 2010 going from '09?
Steve Smith: I will take that, Bob. I mean in terms of the discount rate we used for 2008 calculations to determine what our expenses would be in 2009 we were using a 6.92% rate. And if you looked at our assets value as a 12/31/08, we were about $1.44 billion in asset value. If you take the actual uptick in the market through September 30th of 2009, our asset value is closer to $1.66 billion, $1.7 billion. So we have received some benefit as a result of the uptick in the market, which we're very pleased about. But as you know the calculation for the 2010 expense are effectively done at the end of the year and there are a lot of moving parts in terms of how your assets perform through the balance of the year, how discount rates apply to your liability, how demographic changes, impact, all of those assumptions so I had to take to speculate on what the discount rate would be in December when we take measure of the pension, but I think it’s a positive, all things being considered that our asset values have improved by about 20% from year-end 2008 so far this year.
Ashar Khan – Incremental Capital: Could you give us some rough stab, how much would the disc, you don’t know right now right, how much would the discount rate would have to fall to offset that gain. Is there any kind of a way to kind of like judge?
Steve Smith: I hesitate to come up with a methodology or formula that would provide there, I mean I think in a big picture the asset return is probably 80% of the issue and the discount rate was a much smaller percentage of the issue, so I think asset returns are really what drive ultimately your pension expense, discount rates do have an effect, but not nearly as dramatic as the asset returns.
Ashar Khan – Incremental Capital: Okay, so we should be then I guess a little bit comfortable with things. Okay, I appreciate it. Thank you very much.
Bob Skaggs: Thank you.
Operator: We have a follow-up question from the line of Jonathan Arnold with Deutsche Bank. Please proceed.
Jonathan Arnold – Deutsche Bank: Thank you. I wanted to just clarify one thing and I had to jump off for a bit and I apologize if this was already addressed. Bob, you had talked about your guidance still being at a $1 to a $1.10 and I think in the release and also in your prepared remarks you mentioned that, that had assumed a moderate second half '09 recovery. Are you effectively saying that despite not really having seen such a recovery in the way you might have envisaged you're still planning to make the numbers or you're reminding us that absent that you may not make that number?
Bob Skaggs: Its more the former, we feel comfortable that its going to be well within the range, the team has worked hard to mitigate the lack of a robust recovery, so feel good about the guidance. I would just continue to add that we've sensed that to economic conditions in our marketplace and you will just continue to hear me issues that caveat as we go forward that it does play key role and where we have.
Jonathan Arnold – Deutsche Bank: You're effectively no longer requiring a meaningful recovery in the second half to –
Bob Skaggs: That's correct.
Jonathan Arnold – Deutsche Bank: To make your range, that –
Bob Skaggs: That’s correct, Jonathan.
Jonathan Arnold – Deutsche Bank: Thanks
Operator: We have a follow up question from the line of Carl Kirst with BMO Capital. Please proceed
Bob Skaggs: Hey, Carl.
Carl Kirst – BMO Capital: Hi.
Bob Skaggs: You got a double dipper.
Carl Kirst – BMO Capital: I know, I know. Just very, very quickly because the amount of influx of working capital this year seen some benefit of low gas prices as obviously might that. I don’t know if there is a way to kind of give a sensitivity, Steve, or just as you look at right now, and we have got kind of cal 2010 strip and roughly the $6 range maybe a little bit under that and this year we're probably going to be ending with gas prices for the year somewhere just north of four bucks. If the hurt strip were to hold is there any sense of what the working capital outlay might be next year?
Steve Smith: Yes, that’s a great question, I mean largely the way we look at this is the fact that the gas prices have dropped so dramatically in 2009 and helped us tremendously in terms of our working capital situation, but going forward in 2010, working capital will turn around, because we filled up our storage caverns with a lot lower price gas, so the accounts receivable balances that we have in the fourth quarter are a lot lower than they were in the fourth quarter of 2008. So the working capital benefits that we derived primarily as a result of lower gas prices will effectively go away next year in 2010 and normalize the more regular levels that we've seen historically.
Carl Kirst – BMO Capital: Okay, but no sensitivity or shot at this point of what the cash flow exit could be as gas prices go higher?
Steve Smith: Not at this time.
Carl Kirst – BMO Capital: Okay, all right, thank you.
Bob Skaggs: Let me just mention the team is sensitive to managing that pretty aggressively so all eyes are on that sort of thing, I mention, Carl.
Steve Smith: We feel very good about our liquidity position in 2010.
Bob Skaggs: That’s the bottom line.
Operator: With no further questions in the queue I would now like to turn the call over to Bob Skaggs for closing remarks. You may proceed.
Bob Skaggs: Yes, thank you very much, Kershaw. I just want to say a couple of things, number one, we certainly have the view that the business has improved dramatically if you reflect back a year ago, 18 months ago, this business has made significant strides forward, be it liquidity, business initiatives, core operations, reducing the risk profile, and hopefully you agree the progress is remarkable, the resilience of the business is remarkable, and we feel like we are much stronger, better business with improved clarity on our path forward. So with that thanks again for your interest, your support and we will see you soon. Thank you
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.